Operator: Thank you for standing by, ladies and gentlemen and welcome to the Seanergy Maritime conference call on the fourth quarter and full-year 2017 financial results. We have with us Mr. Stamatis Tsantanis, Chairman and Chief Executive Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions]. I must advise you that this conference is being recorded today. Please be reminded that the company publicly released its financial results which are available to download on the Seanergy website at seanergymaritime.com. If you do not have a copy of the press release, you may contact Capital Link at 212-661-7566 and they will be happy to send it to you. Before turning the call over to Mr. Tsantanis, we would like to remind you that this conference call contains forward-looking statements, as defined in Section 27A of the Securities Act of 1933, as amended and Section 21E of the Securities Exchange Act of 1934, as amended, concerning future events and the company's growth strategy and measures to implement such strategy. Words such as expects, intends, plans, believes, anticipates, hopes, estimates and variations of such words and similar expressions are intended to identify forward-looking statements. These statements involve known and unknown risks and are based upon a number of assumptions and estimates, which are inherently subject to significant uncertainties and contingencies, many of which are beyond the control of the company. Actual results may differ materially from those expressed or implied by such forward-looking statements. Factors that could cause actual results to differ materially include, but are not limited to competitive factors in the market in which the company operates, risks associated with operations outside of the United States, change in rules and regulations applicable to the shipping industry and other risk factors including from time-to-time in the company's Annual Report on Form 20-F and other filings with the Securities and Exchange Commission, the SEC. The company's filings can be obtained free of charge on the SEC's website at www.sec.gov. The company expressly disclaims any obligations or undertaking to release publicly any updates or revisions to any forward-looking statements contained herein to reflect any change in the company's expectations with respect thereto or any change in events, conditions or circumstances on which any statement is based. Now I will pass the floor to Mr. Tsantanis. Please go ahead, sir.
Stamatis Tsantanis: Thank you Sophie. Thank you and good morning and thank you for joining our call. During the 12-months period ended December 31, 2017, which saw the drybulk market rising to considerably higher levels as Baltic Capesize Index averaged about 2,100 points which is more than double the average of 1,000 points in 2016. Our fleet benefited significantly from the stronger Capesize rates and this was reflected in our operating results. We recorded net revenues or $24.3 million in Q4 2017 and $74.8 million in the 12-months period of 2017, up by 123% and 116% compared to the respective periods in 2016. Our EBITDA for Q4 2017 and the full-year 2017 was $7.8 million and $25.5 million, respectively. This represents a year-over-year increase of $9.2 million and $31 million versus the negative EBITDA of $1.4 million and $5.7 million in the respective periods of 2016. The improved market conditions reflect also positively in our profitability. In the fourth quarter of 2017, we recorded a marginal net loss of $116,000, a 98% improvement compared to the same period of 2016. For the full-year 2017, net loss was $3.3 million also a material improvement of 87% compared to 2016. In respect of other financial important developments for the year, we acquired one more Capesize vessel built in South Korea expanding our core fleet while reducing its average age. In particular, in the second quarter, we bought the 2012 built M/V Partnership, our youngest vessel increasing our deadweight to 1.7 million tons. In the third quarter, we completed the refinancing of a loan facility that resulted in a gain of $11.4 million as that outstanding loan of $35.4 million was settled for $24 million. We believe that these strategic transactions are very important from a long-term perspective as they have increased the size and quality of our fleet while deleveraging our capital structure. Our shareholders' equity increased to $41.3 million at the end of 2017, representing a 34% increase compared to 2016 levels. The timing of our three latest Capesize acquisitions including the Partnership since 2016 was excellent and we are confident that Seanergy is very well positioned to achieve consistent operational profitability in a rising market. Fin 2017, we saw a sharp improvement in dayrates and asset values compared to the historical lows of 2016. The time charter equivalent of the Baltic Capesize Index reached levels in excess of $28,000 per day in December and the value of a five-year Capesize increased approximately $33 million. Despite these increases, the charter rates and vessel values are still lagging significantly as compared to the historical averages. To this extent, we would like to express our confidence for further improvement of our operating results and NAV in this positive environment. Turning to our financials. As of December 31, 0217, our total assets were $276 million, up 7% compared to $258 million in 2016. Our shareholders' equity was $41.3 million, up 34% compared to $30.8 million in 2016. Total bank debt was approximately $195 million at the end of 2017, decreased by 7% from $201 million at the end of 2016. In the fourth quarter of 2017, our net revenue was equal to $24.3 million, up 123% from $10.9 million in the same quarter of 2016. The increase is attributable to an increase of 40% in operating days and to 126% increase in the daily time charter equivalent earned by our fleet which stood at $17,000 per day in Q4 of 2017 as compared to $7,500 in Q4 of 2016. In particular, our Capesize fleet earned a time charter equivalent of $18,500 per day, up 152% as compared to $7,300 per day in the fourth quarter of 2016. So far in the first quarter of 2018, we had fixed about 78% of our Capesize days at the rate of $15,930 per day. For comparison purposes, our current Capesize rate is 42% higher than the average Baltic Capesize rate of Q1 2017 and 489% higher than the average rate of Q1 2016. This increase obviously gives a much higher starting point for the remaining of the year. In the 12-month period of 2017, net revenue was $74.8 million, up 116% from 2016. Our time charter equivalent rate increased by 114% while operating days were up 37% due to vessel acquisitions that took place after the first nine months of 2016. The daily time charter equivalent earned by our fleet during 2017 was equal to $11,950 as compared to $5,600 in 2016, an improvement of 114%. Our Capesize fleet earned a time charter equivalent rate of $13,050 in 2017, up from $5,200 in 2016. In respect of our vessel operating expenses, our combined fleet average daily OpEx for 2017 were equal to $4,985. Needless to say that we are one of the most competitive daily OpEx figures in the industry while maintaining our fleet at the highest quality. Our low level of operating expenses has contributed to our strong EBITDA and operating profit during the previous two quarters and we expect that our persistent focus and investment will continue to place us among the lowest cost operators in the industry. Regarding the industry, freight rates and vessel values are still far below mid-cycle levels despite the improvements in 2017. We are currently seeing a harmonized global economic growth for the first time in many years. In January 2018, the IMF upgraded its forecast of global GDP growth from 3.7% to 3.9% after a series of consecutive downgrades in the past years. Along with high profitability margins, this should support higher commodity prices and increased dry bulk trade volumes. Vessel supply growth in 2018 is expected to be the lowest of the past 15 years and so we are very optimistic about freight rate developments in the coming years. The limited number of expected deliveries is likely to lead to the lowest supply growth in 2018. Total fleet supply growth is forecasted to be less than 2% until the end of 2018 which is the lowest seen in the last 10 years. As an indication of the favorable supply fundamentals, the overall dry bulk vessel order book has declined from levels in excess of 60% in 2010 to about 10% currently which is the lowest since 2002. When compared to the level of order book, about 9% of the existing dry bulk fleet is older than 20 years and will likely require replacement in the coming years. For the conventional 180,000 deadweight ton Capesize vessels, the current order book stands at 2% of the fleet which is a historical low. Total vessel demolition in 2017 was equal to about 14.5 million tons reflecting a significant but expected decline from the record levels of 30 million tons seen in 2015 and 2016. However, we anticipate that the increased environmental regulations coming into force will cause additional tonnage to be removed from the market in the coming years. As regards to new vessel ordering, it cannot be denied that the stronger market usually pushes owners to consider new business opportunities. And the size of the order book has indeed increased from the lows of 2017. However, we have not seen any material impact in standard Capesize orders. At the same time, we are cautiously optimistic that a repeat of the mass ordering seen in 2015 and 2014 is unlikely to occur for the following reasons. There is limited availability of debt, especially for delivery financing as many traditional lenders are withdrawing from the market and ones that remain are becoming more selective avoiding to finance speculative orders. 2017 ordering was driven, in part by owners trying to secure the last available slots for Tier 2 design vessels which comes at a discount versus the Tier 1s. We feel that this is unlikely to be the case going forward since there is very limited availability of Tier 2 slots currently. Upcoming environment seeking to limit vessel's sulfur oxide emissions are likely to encourage slow steam operations in the coming years. We expect that this is going to be a constraint on the fleet capacity. Sharp reduction in the number of active shipyards especially in the Capesizes. As a result, we believe that the rising order book is mostly a reflection of the need to replace existing tonnage at attractive prices. About demand now. Against supply growth of 1.5% to 2%, vessel demand is expected to exceed 4% in 2018 with even higher levels growth expected for the Capesize segment. This expectation is mainly driven by global infrastructure initiatives. We anticipate billions of dollars of infrastructure investments in the Far East and the U.S. to be underway. Intercontinental projects, like the One Belt One Road Initiative and the U.S. new infrastructure plan are expected to drive an insatiable demand for raw materials. Increased demand for higher grade iron ore. The Chinese are closing down inefficient mines and highly polluting steel mills while planning to invest heavily in infrastructure development. The emergence of Brazil as a primary source of higher quality iron ore is leading to high growth in ton mile demand for Capesize vessels. In this context, we note that Vale's iron ore production is expected to reach record numbers in 2018 and increasing by 25 million tons. This alone is demand for 40 additional Capesize vessels. Rising electricity production in China, India and other emerging markets. China's electricity production rose about 6.6% in 2017, up from 5.5% in 2016. Coal continues to be an efficient and low-cost source of energy for most Asian economies. Coal India has also repeatedly failed to fulfill its productions in the past years. Again, as with iron ore, there are strong economic and environmental factors for high quality product which provides additional support to ton miles. Certain market developments. The dry bulk charter market is currently experiencing a seasonal decline compared to the fourth quarter levels. Nevertheless, charter rates are still healthy on a seasonal basis and the daily earnings of the Baltic Capesize Index during January and February are averaging above 50% higher than in the same period of 20017. This fact, obviously gives a much stronger starting point for the remainder of the year. The improved outlook is also reflected in the time charter market as charters in bigger, for longer period deals. Indicatively, the Capesizes one year charter rate trades currently at around $20,000 a day which is almost double compared to $10,000 on average in 2017. On a concluding note, Seanergy is one of the best positioned companies to capitalize on the improving market conditions. We have the strongest focus in the Capesize sector which presents the best dry bulk fundamentals. Our Capesize cost base is the lowest in the peer group with no expensive legacy acquisitions. Our competitive breakeven rates allow for significant EBITDA and free cash flow potential. We have very committed shareholders with proven shipping expectation and commitment. We have solid corporate governance with no related per transactions in ship management operations. Our main strategic objective is to continue our fleet expansion in the Capesize sector with additional accretive acquisitions and at the same time to further optimize our capital structure. By these core objectives, we will continue to deliver superior returns to our shareholders. Thank you very much. Sophie, the call back to you.
Operator: [Operator Instructions]. Your first question today from Maxim Group comes from the line of James Jang. Please go ahead. Your line is open.
James Jang: Well, good afternoon guys.
Stamatis Tsantanis: Hi James.
James Jang: So my question is on the trade. We saw rates in Q1, seasonally it comes down a bit. They haven't started to pick up as much. Is there anything you can tell us in terms of what's going on in the sector that's keeping the rates down?
Stamatis Tsantanis: Yes. What gets the rates seasonally down this year for the Capesize is the fact that January and February have been quite slow for Brazilian exports. And as you know, this drives the biggest portion of the Capesizes. The reason is that, from what we understand, in January there was a very heavy rain in season in Brazil and February is the month of traditional maintenance. Of course, this has to pick up because Brazil, to meet the 360 million ton output a year, exports per year, this means that they have to export about 30 million tons per month on average. And they are far behind that target. So we really anticipate that March onwards we will see more and more cargo from the Atlantic to pick up, together of course with the beginning of the construction season in China, this is going to drive the demand for Capesize much stronger. We see that also from the charter perspective, where every day we have more and more interest for either period deals or consecutive voyages. So we think that it's around the corner and is going to happen. We see absolutely no reason for this not to happen. So for us, it's just a matter of days, weeks before we start to see the strong rise in the rates.
James Jang: Okay. Great. Thanks for that. And so following up on China. So the U.S. tariff on steel and aluminum, how do you think that's going to play out for the drive for the iron ore and coal trade?
Stamatis Tsantanis: It appears that this is kind of an overblown statement because China is not even in the top list of steel exporters to the United States. We will wait and see what the announcement is going to look like. But our first reaction is that we don't anticipate that to play a material role in the particular trade. However, please have in mind, that as far as the Capesize fundamentals are concerned, we don't really see any major effect because in order for the U.S. steel industry to meet the target for the infrastructure project, they need to import a lot amount of iron ore. So in any case, some things got to give at the end of the day. The trade will continue to be there. We strongly believe that there is going to be a 4% increase in the volumes of iron ore this year. Maybe we will see some adjustment of trades here and there, but we don't really anticipate anything to be alarming in any case.
James Jang: So let me ask a question, how many ports in the U.S. can handle Capesizes?
Stamatis Tsantanis: Not too many. We go to Balitmore from time to time, but the tonnage Baltic Capesize of 180 and higher, there are not too many ports in the U.S. that can handle capes. So it has to be 170 or less.
James Jang: Got you. Okay. Thank you for that. And also, I know you guys have been looking accretive acquisitions for the past year. And with the tightness in the market and as the values start to increase, are there still options that are out there? Do you think you can build out the fleet more this year?
Stamatis Tsantanis: The answer is yes. There are still a few opportunities. There are not too many players buying Capesizes these days. There are plenty of people buying Panamaxes, Kamsarmaxes, Supras and others. But Capesizes, the actual buyers in the market are no more than maybe 10 names altogether. We are confident that having performed an amazing growth for the company in the last few years. We will continue to identify these kind of opportunities. However, the window has closed. So whatever happens, it will have to happen very quickly.
James Jang: Okay. And so if there aren't any modern Capesizes out there, what about other new resale vessels that you guys are looking at?
Stamatis Tsantanis: Not really. The price differential between resales and newbuilds is so high is that it still highly profitable investment, but nothing compared to the standard five or 10-year old Capesize at the moment.
James Jang: Okay. Great. And just one more on the chartering strategy. The period rates look strong this year. So would you look to put a couple more vessels on either short-term or period charters to offer some downside protection?
Stamatis Tsantanis: The answer is yes. Once we see that the period rates stabilizes at levels above the $20,000, which is marginally there now, we will consider fixing a portion of our fleet in the period market. So we strongly believe that the market will continue to rise in 2018 and 2019 and we will try and capture a secured stream of cash flows in the next couple of years as much as we can.
James Jang: Okay. And just one more. So is the strategy for the Supramaxes the same? Do you guys prefer operating them on the spot market? Or are you looking for period contract use?
Stamatis Tsantanis: For the time being, it's only a small percentage of our fleet and we are doing longer distances. We are doing longer voyages. So they don't really take up lot of resources. Ideally we wanted to have 100% fully focused Capesize, but having 5% of your tonnage in something different, it does not change the policy of the company. So for the time being, we will keep them and we will examine periodically the prospects during 2018.
James Jang: Okay. Great. Well, all right, thank you for the color, guys. I will hop off now.
Stamatis Tsantanis: Thank you James. Bye, bye.
Operator: Thank you. And your next question from NOBLE Financial comes from the line of Poe Fratt. Please go ahead. Your line is open.
Poe Fratt: Hi. Good morning Stamatis.
Stamatis Tsantanis: Hi Poe. Good morning.
Poe Fratt: I was interested, I think you just said you thought the window was closing for acquisitions and I am just trying to figure out a couple of those factors. Is it asset values moving up? Or do you think financing is becoming a little more constricted? Can you just sort of give a little more color on your comment that the window for acquisitions may be closing?
Stamatis Tsantanis: Yes. The incentive, the particular incentive of the sellers of the Capesizes is not there any more. So someone who is making, let's say, an EBITDA of $25 million a year per ship, obviously doesn't have the right incentive to sell as much as a loss making ship. So that drives prices, the values of the particular assets higher. Therefore we have a rising market. We also have a rising period market which affects more the value of these assets and that is going to drive less and less interest from sellers to sell the ships. That's the thing.
Poe Fratt: Yes. So less distressed sellers out there. When you look at the Partnership that's on the 12 to 18 months charter, at this point in time do you think it will go full 18 months? Or how should we be looking at that contract?
Stamatis Tsantanis: Well, given the fact that the demand for the period market right now is exceeding $20,000, well, it's averaging around $20,000, I think it's an incentive of the charter to keep the ship for the 18 month period. Nevertheless, even at $16,200 that the ship is making to date on the period and we are a little bit spoiled in the Capesizes to be honest, it's still generating a very significant return for the company given where and when we bought it.
Poe Fratt: And then, could you give us a ballpark number for what you expect OpEx to come in for 2018? It seemed like drydocking was pretty light in the 2017 timeframe. Could you just give us an idea of drydock scheduled for 2018?
Stamatis Tsantanis: Yes. That's actually a very good question and it's a very important point of this company which I kind of didn't mention so far. We have zero drydocking for 2018 and we might have one ship in 2019. So for the next two years, we basically have no expected or very little expected drydock days. Like I said, we might have the Gloriuship in 2019 and that’s the only ship of the current fleet that might go into drydock in the next two years. So we are going to have a fully operational to take advantage of the market which is rising and will continue to rise significantly. Sorry, what was the other part of the question?
Poe Fratt: Just a ballpark OpEx number for 2018?
Stamatis Tsantanis: We don't anticipate any material movement. We think that the fleet average combined OpEx on a daily basis will be between $5,200 and $5,400 including the management team.
Poe Fratt: With management. Okay. Great. And then, just how about a little more color, you said that customers will start to look to extend contracts. Is it six to 18 months or six to eight months or are they looking to extend even longer than that, Stamatis?
Stamatis Tsantanis: Currently we see, actually just for the one-year time charters. I think that in the course of the year, we will see more longer period requests, two or three years. But right now, we are seeing more at around 12 months.
Poe Fratt: Great. Thank you very much.
Stamatis Tsantanis: Thank you Poe. Nice to hear from you.
Operator: Thank you. And as we have no further questions at this time, I will hand the floor back to yourself, sir.
Stamatis Tsantanis: Thank you Sophie and thanks everyone for joining our call today.
Operator: Thank you. And with a thank you to our presenters for today, that does conclude our conference call. You may now all disconnect. Thank you for participating.